Operator: Greetings and welcome to the Crane Co. Second Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jason Feldman, Vice President of Investor Relations. Thank you. Sir, you may begin.
Jason Feldman: Thank you, operator and good day everyone. Welcome to our second quarter 2021 earnings release conference call. I am Jason Feldman, Vice President of Investor Relations. On our call this morning, we have Max Mitchell, our President and Chief Executive Officer and Rich Maue, our Senior Vice President and Chief Financial Officer. We will start off our call with a few prepared remarks. After which, we will respond to questions. Just a reminder that the comments we make on this call may include some forward-looking statements. We refer you to the cautionary language at the bottom of our earnings release and also in our annual report, 10-K and subsequent filings pertaining to forward-looking statements. Also during the call, we will be using some non-GAAP numbers, which are reconciled to the comparable GAAP numbers and tables at the end of our press release and accompanying slide presentation, both of which are available on our website at www.craneco.com in the Investor Relations section. Now, let me turn the call over to Max.
Max Mitchell: Thank you, Jason and good morning everyone. Thanks for joining the call today, another exceptional quarter really with solid results across the board. We finished the second quarter with record adjusted EPS from continuing operations of $1.83, up 205% compared to last year and record adjusted operating margins of 17.6%. We delivered core sales growth of 19% with a number of strong leading indicators reflected in core order growth of 45% and core backlog growth of 7% compared to last year. Based on this performance, we are raising our adjusted EPS from continuing operations guidance by $0.30 to a range of $5.95 to $6.15, which is effectively our fourth guidance increase so far this year. Please allow me to take a moment to put this in perspective. The midpoint of the updated guidance at $6.05 is above our prior peak pre-COVID adjusted EPS of $6.02 in 2019. While we expect to exceed that $6.02 prior peak this year, there are some notable differences this year compared to 2019. In particular, the $6.02 in 2019 included earnings from Engineered Materials, which is now classified as discontinued operations and excluded from our 2021 guidance. As we have mentioned previously, this is about $0.44 of EPS now excluded in discontinued ops. Further, most of our end markets are still in the very early stages of recovery and remained well below their pre-COVID peak levels. The only real exceptions to this are Crane Currency and our defense business. And thinking about 2022 and beyond, it is worth noting that the commercial side of our Aerospace & Electronics business will still be almost $200 million below 2019 levels this year and a recovery to pre-COVID levels in this business alone would add more than $1 per share to EPS. At Payment & Merchandising Technologies, the core non-currency business will be slightly more than $200 million below pre-COVID levels, with more than half of that amount in our very high margin core Payment Solutions business. Throughout the recovery and beyond, this business will continue to benefit from very favorable long-term macro drivers, helping our customers drive productivity and security by automating the payment and transaction process, with many of those trends strengthening with ongoing labor shortages and wage inflation. And in Process Flow Technologies, we are just beginning to see an inflection to positive core growth on the process side of the business over the last month or two. And while sales growth has just barely inflected positive, we haven’t had a backlog in our process valve business this high since 2014 and sales will certainly follow. So, how are we driving earnings above 2019 levels without a full market recovery yet? Message is the same, execution on our growth initiatives, together with the consistent cadence and discipline of the Crane Business System to drive growth, productivity and cost savings. And as mentioned many times before, we have delivered on margins and free cash flow while maintaining 100% of our investments in strategic growth initiatives throughout the entirety of the pandemic, because of their importance in our ability to sustainably drive long-term, profitable growth. These initiatives will continue to drive above market growth. Paired with the market recovery and our consistent execution, we are very excited about our growth prospects, strong top line growth, solid operating leverage driving substantial growth in free cash flow, credibly delivering on expectations. I discussed at our February Investor Day event how Crane was at an inflection point for accelerating growth after years of organic investments and consistently excellent execution. In the first quarter, you saw substantial evidence of that inflection and the related themes from Investor Day reading through. At our May Aerospace & Electronics investor event, we showed you numerous examples of how we continue to effectively drive above-market growth, expecting 7% to 9% compound average growth over the next 10 years. Also in May, we announced the sale of Engineered Materials as part of our strategic portfolio management process to increase our overall growth profile while continuing our simplification journey. And today, you can see even more evidence of that inflection in our core sales growth as well as in our leading indicators, including orders and backlog. Consistently executing on our investor thesis, that is, we are well positioned for accelerating organic growth as our end-markets continue to recover. We are outgrowing our end-markets because of our consistent and ongoing investment in technology, new product development and commercial excellence. Solid execution continues to leverage that growth into earnings and strong free cash generation, which creates substantial flexibility for capital deployment and continued evidence of the value we create through acquisitions with stellar performance at Crane Currency, Cummins Allison and I&S. Inflection, we have clear momentum with increasing traction from our growth initiatives. We will continue to generate substantial and sustainable value for all our stakeholders. At this point, I will turn it over to Rich for some additional financial commentary.
Rich Maue: Thank you, Max and good morning everyone. As usual, I will be providing segment comments that will compare the second quarter of 2021 to 2020, excluding special items, as outlined in our press release and slide presentation. At Aerospace & Electronics, sales of $158 million were flat with the prior year. Adjusted segment margins, however, improved 420 basis points to 19.6%. In the quarter, total aftermarket sales turned positive, growing 3% after a 29% decline in aftermarket sales last quarter. Commercial OE sales increased 4% in the quarter after a 32% decline last quarter. Defense OE sales declined 4% in the quarter and are flat on a year-to-date basis. We continue to believe that the fourth quarter of last year marked the trough for both sales and margins at Aerospace & Electronics. We expect sales to continue to improve slightly on a sequential basis throughout the rest of this year as the pace of the recovery continues to improve and our expected timing of a recovery to pre-COVID levels continues to get pulled forward. More specifically, we are seeing North American airlines bring a substantial number of aircraft back into service to meet expected domestic demand levels, with the in-service fleet now at about 90% of mid-2019 levels. On the international side, traffic continues to improve, albeit a little more slowly, with substantial room for recovery – further recovery as global ASKs are now a little better than 50% of 2019 levels. In general, pent-up demand will drive recovery faster than expected as COVID restrictions continue to ease. And our confidence in our outlook for this business is about more than just a market recovery. We are seeing accelerating growth resulting from consistent and continued investment in technology. Our growth investments over the last decade have not wavered and we are seeing the benefits of those investments today. These investments also continue to expand our addressable market and align our business with accelerating secular trends, most notably electrification. And we are delivering on truly breakthrough innovations that are critical enablers to our customers’ growth strategies and that are transforming the growth trajectory of our business, really exciting opportunities in our power conversion business, sensing and fluid and thermal management. Taken together, and as we explained at our Aerospace Investor Day in May, we expect a long-term overall compound annual growth rate of 7% to 9% through 2030. Process Flow Technologies sales of $311 million increased 30% driven by a 22% increase in core sales and an 8% benefit from favorable foreign exchange. Process Flow Technologies operating profit increased by 83% to $49 million. Adjusted operating margins increased 450 basis points to 15.7%, reflecting the higher volumes, strong execution and benefits from last year’s cost actions. Sequentially, trends improved across the board with FX-neutral backlog up 5% and FX-neutral orders up 8%. Compared to last year, FX-neutral backlog increased 11% and FX-neutral core orders increased 28%. During the first quarter, order growth was strongest in our short-cycle commercial business. However, orders at our core process business inflected positive on a year-over-year basis in March and that trend continued throughout the second quarter. We are also seeing clear evidence of improving end demand and in some cases, the start of released pent-up demand. We expect the recovery to be led heavily by the chemical end market, which is continuing to show signs of strengthening around the world. And remember that the chemical market is our most important market, where we have the strongest position and the most differentiated offering, and generated more than 35% of sales on the process side of this business. We are seeing continued strength in MRO sales, and project activity is clearly picking up for necessary debottlenecking activities as well as larger capacity expansions, particularly for specialty chemical applications. We are seeing this most significantly right now in the United States and China with Europe projects likely to pick up next year. General industrial activity has also strengthened but primarily in the United States. Conventional power and oil and gas markets remain fairly sluggish. However, remember that collectively, upstream oil and gas and conventional power are a small part of this business and less than 10% of segment sales. As orders convert to sales in these core process markets later this year and into 2022, we expect very strong operating leverage. For the shorter-cycle non-residential and municipal end markets, we are seeing a continuation of the strength that we saw during the first quarter. For Process Flow Technologies overall, our outlook continues to improve. We now expect high single-digit core sales growth, with approximately 5% of favorable foreign exchange on a full year basis. Full year margins should be somewhere between where they were in the first and second quarters. At Payment & Merchandising Technologies, sales of $328 million in the quarter increased 31% compared to the prior year driven by 26% core sales growth and a 5% benefit from favorable foreign exchange. Our Currency business core sales increased in the mid-teens range with the Crane Payment Innovations business inflecting to a positive 34% of core growth, but still well below pre-COVID levels. Segment operating profit increased 285% to $78 million. Adjusted operating margins increased 1,500 basis points to 23.7%. Really impressive performance again in the quarter, as expected, and now with our legacy payment business beginning to contribute meaningfully, paired with the ongoing superior performance at Crane Currency. For the payment business, with the phased economic reopening, we continued to see very strong growth in the gaming and retail end markets. And during the second quarter, vending started to recover as well. Transportation, particularly parking, remained softer, although we have seen some substantial fare collection project activity during the quarter. At Crane Currency, we continue to see strength in both the domestic and international markets, and we continue to gain share both with our technology and bank note offerings. As we explained last quarter, we do expect margins to moderate further over the course of the year given timing and mix, with full year margins likely toward the high-end of our long-term target of 18% to 22%, with core sales growth this year now approaching mid-teens with a 4% favorable foreign exchange benefit. And like our high-margin Aerospace business, the recovery has just begun at payment – Crane Payment Innovations. Turning now to more detail on our total company results and guidance, we had extremely strong cash flow performance in the quarter, generating $141 million in free cash flow compared to $102 million in the second quarter of last year. Year-to-date, free cash flow was $184 million compared to $62 million last year. During the second quarter, we also received approximately $9 million from the sale of a property in Arizona following receipt of $15 million last quarter from the sale of another property. These proceeds are excluded from free cash flow given required classification as an investing activity. However, one of these sales was directly enabled by our ongoing restructuring efforts as we moved operations from this facility to other locations. And the other reflects our proactive approach to identify underutilized assets. Since 2017, we have received proceeds from real estate and other asset sales made possible by restructuring activities of approximately $56 million, which means that much of our restructuring has been self-funded. As a reminder, on May 24, we announced that we had signed an agreement to sell our Engineered Materials segment for $360 million. That process is ongoing, and we continue to work on obtaining regulatory approvals. When the transaction closes, we expect proceeds, net of tax, to be approximately $320 million. Our balance sheet is in extremely good shape. During the second quarter, we repaid the term loan originated in April of 2020 in full using cash on hand and some commercial paper. As we discussed in May, we believe we will have approximately $1 billion of M&A capacity by the end of this year. Valuations today are quite lofty, and we will remain disciplined. But I am confident that over time, we will continue to find attractive transactions where we can deploy our capital to create value for shareholders. We will also maintain discipline about our balance sheet efficiency. During periods where acquisitions are less actionable, we will consider returning excess cash to shareholders rather than maintaining an efficient – inefficient balance sheet. However, over the long term, we continue to believe that we will be able to add the most value through acquisitions. The adjusted tax rate in the quarter was 18.4%, which included an excess tax benefit of approximately $4 million or $0.07 per share related to stock options exercised during the quarter. For the full year, we now expect an adjusted tax rate of 20.5% rather than the previous 21% guidance. As Max explained, we are raising our adjusted EPS guidance by $0.30 to a range of $5.95 to $6.15, reflecting the strong second quarter performance and our expectation that end markets and execution will be ahead of where we forecasted them earlier this year. Remember that our original guidance for 2021 was $4.90 to $5.10, and that guidance included $0.44 of earnings contribution from Engineered Materials. That means we have effectively raised guidance about $1.50 on an operational basis since the beginning of the year. While uncertainty remains related to COVID variants and sporadic supply chain constraints, overall we have a high level of confidence in our revised guidance based on our team’s outstanding performance, driving incremental price and proactively and effectively managing inflation and their supply chain. Our revised guidance also reflects the same cadence of earnings progression we have discussed since the beginning of the year. Specifically, we continue to expect a step-down in EPS next quarter given timing and with fourth quarter following its usual pattern as the seasonally weakest quarter across most of our businesses. Our revised guidance assumes core sales growth of 7% to 9%, which is 200 basis points higher than our prior May 24 guidance. Favorable foreign exchange is also now expected to contribute 3.5%, up 100 basis points from late May. Free cash flow guidance was increased to $320 million to $350 million, up $20 million from prior guidance, reflecting higher earnings and slightly lower CapEx at $70 million. Corporate expense is now expected to be $80 million, up $3 million compared to prior guidance. Full details of our adjusted guidance are included both in our earnings press release as well as our earnings slide presentation. Overall, an excellent year continuing to unfold with outstanding execution from all of our teams driving exceptional results, growth, margins, free cash flow and we remain excited about continued tailwinds in 2022 and 2023 as end markets continue to recover. Operator, we are now ready to take our first question.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Nathan Jones with Stifel. Please proceed with your question.
Nathan Jones: Good morning, everyone.
Max Mitchell: Good morning, Nathan.
Rich Maue: Good morning, Nathan.
Nathan Jones: I am going to start off in Process Flow. It’s a good revenue number, very strong backlog growth, which implies very good order rates. Can you give us a bit more color on what’s driving those order rates between the various businesses? And then within the actual process side of that, what markets, geographies, products, etcetera, are driving that strong order growth here at the moment and whether you think this is sustainable?
Rich Maue: Yes. Okay. Thanks, Nathan. Yes. I would say that what we have been seeing on a year-to-date basis, a combination – or largely from a year-to-date basis, the commercial side came back faster ahead of the process markets, but now process continuing to inflect, which is great and it’s what we expected and what we felt in our early guidance and the revisions on guidance. What I would say is that on that side, that’s where frankly the tailwinds will continue into 2022, 2023. And we are in the early stages of that cycle, in particular in chemical. 18 to 24 months is what we would expect and we are very early on there. In chemical, in particular, orders up 44% compared to last year on a 312 basis really across all regions. Orders are now close to 2019 levels midway through that year, so really strong. North America, chemical producers are rushing to expand capacity, debottlenecking etcetera. So – and again, I am focused on process, Nathan. And Europe also starting to pickup on projects, like I mentioned in the prepared remarks, not really that large in Europe yet, more maintenance, but we do believe that debottlenecking is coming in Europe. Not really large projects in 2021 in Europe. And then in Asia, also I would say there is a particular large expansion from one of our end customers in Singapore, which is a nice win that we had. So, I would say it’s pretty broad based in chemical, largely North America and China is what I would offer there on the chemical and the process side in particular.
Nathan Jones: Okay. And my follow-up question is also going to be on Process Flow, interesting renaming of the segment. There is certainly business, at least one business and maybe more than one business within that segment that don’t really fit into the new definition of what you are looking for there. Are you guys considering opportunities to continue to simplify the portfolio here? As you mentioned, multiples are pretty high at the moment, so it’s probably not a bad time to be a seller. Any commentary you can give on simplifying the portfolio in Process Flow or anywhere else that you might be considering?
Max Mitchell: The rename is a recognition of the great work that this team has done over many, many years to continue to drive our technology solutions. I think in every portfolio, there is going to be some pieces of a business that may not completely align with that exact naming. It also – the fluid handling designation was just an old, outdated, in my opinion, reference. It didn’t make sense anymore for us internally and for investors to truly understand who we are and how we move forward. So, it’s an exciting designation, because even internally, it helps us really think about the opportunities that we continue to chase, the M&A opportunities that we continue to explore, the adjacencies. And we look forward to continuing to execute on that. We have consistently looked at the portfolio. We continue to strategically look at the portfolio, and we will as we move forward. Nathan, I would just say that as of right now, we have no plans to do anything different.
Nathan Jones: Okay. Thanks for taking my questions.
Max Mitchell: Thanks Nathan.
Operator: Your next question comes from the line of Matt Summerville with D.A. Davidson. Please proceed with your question.
Matt Summerville: Thanks. A couple of questions. Can you just give a little bit more color in terms of the first half, second half sort of cadence, the step downs? We are obviously being implied even at the – particularly even at the high end of the range on a sequential basis. Are there inflation versus price considerations we need to think about? Sounds like in payment, the margins are maybe going to come in a little bit just due to mix, but can you talk about the three or four biggest factors driving kind of the first half, second half cadence here? Thank you.
Rich Maue: Yes. Matt, just to – this is – what I would say is that our guidance is consistent with what we have said since the beginning of the year, meaning our first half being stronger. Mix elements being a large component, timing. Mainly in the Payment space, we had a very, very strong first quarter and subsequently the second quarter also in Payment. But notably, in Currency, I would say that the expectations for the balance of the year is really not all that different from how the cadence of earnings was outlined earlier in the year. So, we have a bit of a step down in currency, but it’s just project timing, and it’s what we expect. So, that would be the largest component. When you look at some of the other pieces, in Fluid Handling, for example – sorry, Process Flow Technologies, for example, we have had some exceptional margin performance here in the quarter. We were ahead on price cost, frankly, and we started that real early. Highly disciplined in our approach, and we were a little ahead. So, we will see some of the costs coming in the second half, but our margin profile there is going to be solid. So, I would say, just high level, a little bit of incremental cost. We were ahead on price. And then mix elements, largely in the Payment space, to answer your question. Yes. Sorry, go ahead.
Matt Summerville: I was just going to say, as a follow-up with respect to Crane Currency, if you gave it, I missed it because – so would you mind providing the organic performance there in the quarter similar to what you did for CPI? And then as we think about the government print order for fiscal ‘22, I am curious, in the last couple of months, has your thought around what that will likely look like evolved at all? Thanks.
Max Mitchell: On the print order, Matt, I would say we are waiting the revised ICO should be out shortly. Reminder, the Fed annual cycle ends September and starts October. Usually, it comes out 60 days before. Reminder, the last year was the first time – there was a range published, $7.6 billion to $9.6 billion. And now the BEP, from what we hear, just like all manufacturers, have had issues through COVID and – constraints and challenges and so forth. And the print is on the low end of that spectrum. Maybe even it’s slightly under the 7.6 range. We have no official word yet. So, I am not speaking for the customer. I would just say my best guess would be, because of this range and this demand that’s required, that would ideally be filled is getting smoothed out over a number of years. I think we can expect a very similar order as what’s actually being produced this year. So probably, I don’t know, maybe the 7.2 to 7.6 range something like that, but it’s going to be very consistent on a year-over-year basis. I will let Rich answer the organic.
Rich Maue: Yes. On the Currency side in the quarter, about – in the mid-teens, Matt, was the growth there. On the Payment side, was about 35% on the Payment Innovations business. And I think what’s exciting – just to follow on that, right. Again, as Max alluded to or mentioned in his prepared remarks we are still a couple of hundred million below pre-COVID levels on that part of the business, so, an exciting tailwind following the end of this year here and to next year in 2023.
Matt Summerville: Great. Thank you, guys.
Operator: [Operator Instructions] Our next question comes from the line of Damian Karas with UBS. Please proceed with your question.
Damian Karas: Hi, good morning everyone and congrats on the quarter.
Max Mitchell: Thank you.
Rich Maue: Thank you.
Damian Karas: So, a couple of follow-up questions. On Currency, you mentioned that you are going to be above the $1 EPS target that you had put in place for this year when you made the acquisition. I am presuming that the U.S. portion of that is higher than what you had expected at the outset. Just curious how the international side is faring relative to your – that target you put in place a few years ago. And Max, you had mentioned that on the U.S. Fed orders, possibly kind of being sort of flattish for fiscal ‘22 coming up here. Can that Currency business still grow in that sort of orders construct for the U.S.?
Max Mitchell: Excellent questions. I love all those questions. So – because it’s all positive. So, just to clarify, U.S. was – didn’t come in higher than what we expected. I mean, that range, we probably expected it to come in even higher because of just capacity constraints with BEP. It’s been tampered somewhat. So, what we have really seen is significant continued strength with international. The team is doing a phenomenal job. MicroOptics thread winning new orders, both selling the thread security features as well as printing as well as paper. So, it’s just – I think the team is doing an incredible job all in. On U.S., for the future, as we think about growth, Damian, it’s far beyond just the annual order. We are working closely with our important customer in the U.S. on next series. And you have seen this in the press in terms of potential redesigns in the future, everything from Harriet Tubman Note. So, there will be new series. On those new series, there will be enhanced security features. We are very optimistic that we will have significant content. So, even on the existing demand profile for the foreseeable future, this is out ‘24/25 as we think about this on new series, but there is already work being done, prototypes, trial runs, preparation. We will have added content on the existing Currency in the U.S. that will drive enhanced revenue margin. Do you want to add anything else?
Rich Maue: No.
Max Mitchell: I think did that cover everything…?
Rich Maue: Yes.
Max Mitchell: Did I miss anything, Damian?
Damian Karas: No. That’s really helpful. Thanks Max. And then I guess just switching to A&E. We have seen flight hours and airline bookings really picked up in recent months. I don’t get the sense that you have altered your guidance much for A&E. Could you just maybe walk through what your commercial aero expectations are through the year-end? And I guess kind of more medium-term, is the thinking still ‘24, ‘25-ish for kind of the full recovery or has some recent activity changed your thinking there?
Rich Maue: Yes. Just to pick that off in order. On your first question, I would say, yes, largely the same. I would expect margins to actually pick up versus our guidance that we provided back in the first quarter. I think we had said we would do modestly better than 15%. We are going to be stronger than that, for sure, maybe as much as 150 basis points on the year. So – and that’s driven in large part to what we are seeing on the mix of product sales. We have a little bit faster recovery in aftermarket. All the commentary that we provided was effectively what you are speaking to and asking about, which is the recovery is coming a bit faster. So from our perspective, we initially thought 2024, and we think it’s at least coming in by about a year.
Damian Karas: Great, it’s really helpful. Thanks. I will pass it on.
Max Mitchell: Thanks, Damian.
Operator: We have no further questions at this time. Mr. Mitchell, I would like to turn the floor back over to you for closing comments.
Max Mitchell: Thank you, Christine. Another excellent quarter in delivering on our message of inflection and momentum, continued consistency of execution and supporting the investor thesis we delivered in February. We are in the very early stages of a strong market recovery. We have invested heavily in our organic growth initiatives, and results are reading through in consistent above-market sales growth. We have growing opportunities for acquisitions in Process Flow Technologies and Aerospace & Electronics, building on our core competencies. And we have an incredibly strong foundation to build upon grounded in the Crane business system, driving consistent execution along with a culture of ethics and integrity. As the late great racing legend Bobby Answer once said, “success is where preparation and opportunity meet.” At Crane, we are well prepared to fully capitalize on every opportunity that presents itself. The tank is full. The tire is fresh. We are in the pole position, and the track is clear ahead of us. Thank you all for your interest in Crane, and have a great day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.